Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the Mastercard Inc. Q4 and Full Year 2022 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Mr. Warren Kneeshaw, Head of Investor Relations, you may begin your conference.
Warren Kneeshaw: Thank you, Audra. Good morning, everyone, and thank you for joining us for our fourth quarter 2022 earnings call. With me today are Michael Miebach, our Chief Executive Officer; and Sachin Mehra, our Chief Financial Officer. Following comments from Michael and Sachin, we’ll open up the call for the Q&A session. You can access our earnings release, supplemental performance data and the slide deck that accompany this call in the Investor Relations section of our website, mastercard.com. Additionally, the release was furnished with the SEC earlier this morning. Our comments today regarding our financial results will be on a non-GAAP currency-neutral basis unless otherwise noted. Both the release and the slide deck include reconciliations of non-GAAP measures to GAAP reported amounts. Finally, as set forth in more detail in our earnings release, I would like to remind everyone that today’s call will include forward-looking statements regarding Mastercard’s future performance. Actual performance could differ materially from these forward-looking statements. Information about the factors that could affect future performance are summarized at the end of our earnings release and in our recent SEC filings. A replay of this call will be posted on our website for 30 days. With that, I’ll now turn the call over to our Chief Executive Officer, Michael Miebach.
Michael Miebach: Thank you, Warren. Good morning, everyone. Let’s get right into it. So, starting with the big picture. Consumer spending has remained resilient, and we are very well positioned to capitalize on the growth opportunities ahead. We closed out the year with strong financial results and several notable wins. Quarter four net revenues were up 17% and adjusted operating income up 19%, both versus a year ago, as always, on a non-GAAP currency-neutral basis, excluding special items. While the macroeconomic and geopolitical environment remains uncertain, we are keeping a close eye on a variety of positive and negative factors. The broadly resilient labor market with low unemployment and rising wages, coupled with elevated consumer savings levels, are key drivers of consumer spending. We’re also tracking efforts by the central banks to curb inflation, along with moderating energy prices and the reopening of China. So, still lots of moving pieces. From an overall consumer spending standpoint, we expect the consumer to be relatively resilient. Spending patterns have largely normalized relative to the effects of the pandemic with the notable exception of China. In terms of switched volumes, domestic volumes in the fourth quarter remained steady relative to 2019 levels with some slight moderation in the U.S. related to lower gas prices recently. Cross-border travel continued to recover in quarter four with inbound travel either flat or up in every region sequentially relative to 2019 levels. As of the first three weeks of January, inbound cross-border travel to all regions is now above 2019 levels. We will continue to monitor the economic environment closely, and should the outlook change, we’re prepared to move quickly to adjust our spending levels as we have done in the past. In the meantime, we continue to focus on the things we can control. This starts with our three strategic priorities: expanding in payments; extending our services; and embracing new networks. And here are some examples of how we’re progressing against each of these. Starting with payments. We won substantial new business this quarter. Our innovative products, differentiated services and partnership approach enabled us to secure major portfolio flips, extend relationships and launch new programs with banks, co-brand partners and transit systems around the world. I am very excited about our expanded partnership with Citizens to become their exclusive payments provider across all product portfolios in the United States. We will shift their debit portfolio to Mastercard, and we will maintain exclusivity on credit and commercial. Citizens selected Mastercard based on our digital assets, open banking capabilities and safety and security tools. We have also extended and enhanced our long-term partnership with Citi. It solidifies Mastercard as Citi’s exclusive global partner for Citi-branded consumer credit, debit and small business cards. We look forward to continuing to partner to deliver digital initiatives, new technologies and innovative payment solutions together. We’ve extended our longstanding relationship with Bank of America across their consumer and small business debit and credit lines of business. They’re great partners. We’re especially proud to continue as the lead brand for all newly issued small business cards. And our positive momentum with Chase continued this quarter as well. Building up on our recent co-brand, commercial and Pay-by-Bank partnership announcements, we are excited to announce that we have renewed the Chase Freedom Flex portfolio. Turning to the UK, we recently extended our credit deal with NatWest Group for consumer and commercial. We’re partnering with Belbim, [ph] Istanbul transportation to convert over 17 million closed-loop cards, Mastercards and add 24,000 new acceptance locations across the city. We’ve partnered with QNB Finansbank and Trendyol, a large e-commerce marketplace in Turkey, over 30 million customers to launch a new Mastercard co-brand credit product. Now, an important driver of our success in core payments is our ability to deliver innovation and thought leadership. We are designing and deploying innovation solutions at scale, as a result, are the clear partner of choice for our customers. Three recent examples include our work in Installments, Tokenization and Click to Pay. Starting off with installments. SoFi launched Pay in 4, becoming the first bank in the U.S. to launch within the Mastercard Installments program. SoFi valued the broad acceptance, strong consumer protections and commission-based open banking capabilities that all make Mastercard Installments unique. We’ve got a strong pipeline for Mastercard Installments and plan to add several additional programs across multiple regions throughout the year. Turning to Tokenization. We surpassed 2 billion tokenized transactions per month and for the year, we are up 38%. We’re currently enabling digital transactions in over 110 countries. Tokenization helps keep the ecosystem safe and secure across a wide range of use cases. One example that I think is particularly cool is the work we are doing with in-car payments. We’re working with car manufacturers and fintechs to integrate payments using our tokenization platform and biometric authentication capabilities. Think about the simplicity it brings to paying for gas, tolls, charging or entertainment right from your car. This is a great example of Mastercard working with partners to drive the convergence of the Internet of Things, 5G and addressing consumer demand for cool digital experiences. It also highlights how we’re expanding the reach and the value of our acceptance network through new channels to support new use cases. This is just the beginning. Watch for more to come in the space. And on Click to Pay, we partnered with Adyen to launch Click to Pay on their global payment platform, recognizing the value that it brings to guest checkouts and millions of online shoppers. Adyen joins more than 20 other payment service providers around the world, bringing Click to Pay to thousands of merchants globally. Now this focus on innovation and partnership is also a critical part of our strategy to penetrate the prioritized set of new flows that we outlined at our 2021 Investor Day. We continue to make solid progress. Here are some of examples how we’re driving growth in each area. First, disbursements and remittances. Mastercard Send and our cross-border services capabilities are solving for an expanding set of use cases across multiple geographies. For example, we partnered with social marketplace platform, Poshmark, to enable seller payouts. And for cross-border payments, we’ve teamed up with Paysend to broaden our global reach and expand the ability to send international payments across card brands. Second, we’re deploying digital capabilities to displace cash and check-based commercial payments at the point of sale, huge opportunity. In France, we signed an agreement with Société Générale to develop their corporate card book. And in South Korea, we partnered with KakaoBank and Samsung Card to launch new debit and credit co-brand offerings for small businesses. The third flow is B2B accounts payable payments. Our virtual card capabilities provide an effective digital solution to address the working capital, process efficiency and data challenges that are prevalent in B2B. We are a global leader in virtual card. We’re seeing rapid growth in this space. We’re bolstering our position through new partnerships and capabilities. For example, we announced plans to partner with Sabre and confirm our pay to accelerate the use of virtual cards for B2B travel payments. We also signed an agreement with fintech partner, Extenet, to offer virtual mobile corporate cards in the U.S. and Canada. And finally, on the consumer bill payment front, we are focused on deploying market-specific solutions to meet unique needs of consumers and businesses. For example, in Norway, we are powering the eFaktura service, which is used by the vast majority of citizens to pay their bills. In 2022, we hit a milestone as over 200 million digital invoices were sent using eFaktura. As you can see, we’re making significant progress expanding in payments, and we are excited about the opportunity in front of us. Now turning to the second of our three strategic priorities, services. Services provide differentiation and diversification for Mastercard. Our strategy is to leverage our services to drive growth at the core and to expand into new segments and use cases. We’re making steady progress on both and have significant opportunity for future growth. Our services continue to drive growth in the core as evidenced by our wins and extensions with Citizens, Citi, NatWest and others, as I mentioned earlier. One example of a service that enhances the value of payments is Consumer Clarity. The service provides cardholders with merchant details in digital receipts to reduce disputes, low charge-back costs and improve the consumer experience. We recently partnered with TSYS who will offer Consumer Clarity to over 25 million cardholders in the U.S. and the UK. In 2022, we signed up over 50 financial institutions and merchant partners for Consumer Clarity, including large issuers like Itaú in Brazil. We’re also expanding our services to new segments and new use cases, including governments, retailers, digital partners and financial institutions. This quarter, we partnered with research and consulting firms, including EFO and SEMA [ph] in Germany, as well as the Barbados Ministry of Tourism and International Transport to provide governments with detailed insights into tourism and retail spending trends. We engage with retailers like Lowe’s who are leveraging our Test & Learn capabilities to conduct analytics on their core business. We partner with large fintechs like Monzo in the UK. to advise on product development strategies. And we are deploying our personalization solutions, which we acquired through Dynamic Yield, across a range of retail and financial institutions, including Carrefour, Argentina, Height, [indiscernible] to enhance and scale their personalization efforts. I’m very encouraged by the continued momentum in our services growth strategy and the differentiation and diversification that these capabilities bring. I’ll now move on to our third strategic priority, which is embracing new networks, namely open banking and digital identity. This quarter, I’d like to highlight an example of how our open banking capabilities have come together with our other strategic priorities to offer a new solution. As I mentioned earlier, in quarter four, JPMorgan Payments and Mastercard announced an innovative Pay-by-Bank solution. Solution utilizes the MasterCard open banking platform to modernize existing ACH payments and allow customers to pay bills from their bank account in a frictionless manner. Pay-by-Bank offers choice and provides a simple and secure experience of billers and merchants as well as consumers by enhancing existing ACH transactions. This deal is a manifestation of our multi-rail strategy, expands our addressable market by our open banking capabilities, and it deepens our relationship with JPMorgan Chase. We’re actively working with them to take the solution to market this year. We also continue to make our progress with open banking in Europe. Mastercard is connected to more than 3,000 banks and financial institutions across 18 markets to power their open banking efforts. This quarter, we partnered with Secure Trust Bank in the UK, who will leverage our open banking capabilities to provide safe and convenient ways for their customers to repay retail loans directly from their bank account. In summary, we delivered another strong quarter of revenue and earnings growth, aided by a resilient consumer and the continued recovery in cross-border travel. In payments, we won substantial new business this quarter, including Citizens. We’re expanding our differentiated services and embracing new networks, including leveraging our open banking capabilities to power solutions, like JPMorgan’s Pay-by-Bank. With all that, we’re well positioned for the opportunities ahead. We will manage the business with agility, should the macroeconomic outlook change. Sachin, over to you.
Sachin Mehra: Thanks, Michael. Turning now to page 3, which shows our financial performance for the quarter on a currency-neutral basis, excluding special items and the impact of gains and losses on our equity investments. Net revenue was up 17%, supported by a resilient consumer spending and the continued recovery of cross-border travel relative to 2019 levels. Acquisitions contributed 1 ppt to this growth. Operating expenses increased 13%, including a 3 ppt increase from acquisitions. Operating income was up 19%, which includes a 1 ppt decrease related to acquisitions. Net income was up 16%, which includes a 2 ppt decrease related to acquisitions. EPS was up 19% year-over-year to $2.65, which includes a $0.06 contribution from share repurchases. During the quarter, we repurchased $2.4 billion worth of stock and an additional $590 million through January 23, 2023. So, let’s turn to page 4, where you can see the operational metrics for the fourth quarter. Worldwide gross dollar volume, or GDV, increased by 8% year-over-year on a local currency basis. On the same basis, if you exclude Russia from the prior period, GDV [Technical Difficulty] by 14%. In the U.S., GDV increased by 7% with credit growth of 14%, reflecting in part the recovery of spending on travel. Debit increased 1%. Excluding the impact of the roll-off of a previously discussed customer agreement, debit increased approximately 5%. Outside of the U.S., volume increased 8% with credit growth of 9% and debit growth of 7%. Cross-border volume was up 31% globally for the quarter, reflecting continued improvement in travel-related cross-border spending. Turning now to page 5. Switched transactions grew 8% year-over-year in Q4. Excluding Russia from the prior year, switched transactions grew 18% year-over-year in Q4. Card-present and card-not-present growth rates remain strong. Card-present growth was aided in part by increases in contactless penetration in all regions when excluding Russia. Contactless now represents 56% of all in-person switched purchase transactions. In addition, card growth was 5% or 9% if we exclude cards issued by Russian banks from the prior year card count. Globally, there are 3.1 billion Mastercard and Maestro-branded cards issued. Now, let’s turn to page 6 for highlights on the revenue line items, again, described on a currency-neutral basis, unless otherwise noted. The increase in net revenue of 17% was primarily driven by domestic and cross-border transaction and volume growth as well as growth in services, partially offset by growth in rebates and incentives. Acquisitions contributed 1 ppt to this growth. Looking quickly at the individual revenue line items. Domestic assessments were up 6%, while worldwide gross dollar volume grew 8%. The difference is primarily driven by mix. Cross-border volume fees increased 40%, while cross-border volumes increased 31%. The 9 ppt difference is primarily due to favorable mix as higher-yielding ex intra-Europe cross-border volumes grew faster than intra-Europe cross-border volumes this quarter. Transaction processing fees were up 16%, while switched transactions grew 8%. The 8 ppt difference is primarily due to favorable mix, FX-related revenues and pricing. Other revenues were up 16%, including a 1 ppt contribution from acquisitions. The remaining growth was driven primarily by our cyber & intelligence and data & services solutions. Finally, rebates and incentives were up 18%, reflecting the strong growth in volumes and transactions and new and renewed deal activity. Moving on to page 7. You can see that on a non-GAAP currency-neutral basis, excluding special items, total adjusted operating expenses increased 13%, including a 3 ppt impact from acquisitions. Excluding acquisitions, the remaining increase was primarily due to higher personnel costs to support the continued execution of our strategic initiatives, partially offset by lower advertising and marketing costs. Turning to page 8. Let’s discuss the operating metrics for the first three weeks of January compared to Q4 2022. Each of these metrics, with the exception of cross-border card-not-present excluding travel, were favorably impacted by the lapping of the slower growth that occurred in January 2022 related to the Omicron variant. Switched volumes grew 21% year-over-year, up 7 ppt versus Q4. Switched transactions grew 12% year-over-year, up 4 ppt versus Q4. Overall, cross-border volumes grew 42% year-over-year, up 11 ppt versus Q4, driven by cross-border travel growth of 84% year-over-year, up 25 ppt versus Q4. Cross-border card-not-present excluding travel grew 10% year-over-year, up 2 ppt from Q4. A couple of administrative notes, for your reference to help you understand the trends in the business, ex Russia, we have suspended -- where we suspended operations in March 2022, we have included an appendix later in this deck to show all the data points from this schedule, if you excluded activity from Russian-issued cards from prior periods. Additionally, as the impacts of the pandemic recede, going forward, we will no longer provide operating metric levels as a percentage of 2019. Turning now to page 9, I want to share our thoughts on the upcoming year. Let me start by saying that I believe that we are well positioned to address the significant growth opportunities at hand. We have established a clear set of strategic priorities and are making steady progress against each of them. This is evidenced by the many wins across the products and services Michael has discussed on this call and over time. On the macroeconomic front, as Michael laid out, we are monitoring a number of both, positive and negative factors. We do expect consumer spending to hold up relatively well in this environment, driven in part by the strong labor market. It is important to remember that we are coming off a year of strong growth as we lap the effects of the pandemic, and we expect our go-forward growth rates to moderate accordingly. From a cross-border travel standpoint, most regions have recovered and are well above 2019 levels in Q4. The exception is Asia, where there is still room to improve with China reopening. Just a little further context here. China represented about 1% of inbound cross-border travel volumes pre-pandemic in 2019. In Q4, this volume was at approximately 20% of Q4 2019 levels. Similarly, China represented about 2% of outbound cross-border travel volumes pre-pandemic in 2019. In Q4, this volume was at about 50% of Q4 2019 levels. With this in mind, our base case scenario for the full year 2023 is for net revenues to grow at the high end of a low-double-digit rate on a currency-neutral basis, excluding acquisitions and special items. This growth rate would be higher by approximately 1.5 ppt if you exclude Russia-related revenues from 2022. Acquisitions are forecasted to have a minimal impact to this growth rate, while foreign exchange is expected to be a tailwind of approximately 1 ppt for the year, primarily due to the recent strengthening of the euro relative to U.S. dollar. In terms of operating expenses, we will continue to carefully manage our expenses as we invest in our payments, services and new network priorities to drive short and long-term growth. For the year, we expect operating expenses to grow at the high end of a high-single-digit rate on a currency-neutral basis, excluding acquisitions and special items. Acquisitions are forecast to add about 0.5 of a ppt to this growth, while foreign exchange is expected to be a 1 ppt headwind for the year. Turning now to the first quarter. Year-over-year net revenue growth is expected to be at the low end of a low-double-digit rate, again, on a currency-neutral basis excluding acquisitions and special items and reflects generally resilient consumer spending. A couple of points to note. Q1 will be the last quarter in which we experience the lapping effect of our decision to suspend operations in Russia in Q1 of 2022. And we expect cross-border volume growth in Q1 2023 to be elevated as a result of the effects of Omicron in Q1 2022. Acquisitions are forecast to add about 0.5 a ppt to this growth, while foreign exchange is expected to be a headwind of 2 ppt for the quarter. From an operating expense standpoint, we expect Q1 operating expense growth to be at the low end of a high-single-digit rate versus a year-ago on a currency-neutral basis, excluding acquisitions and special items. Acquisitions are forecast to add about 2 ppt to this growth, while foreign exchange is expected to be a tailwind of approximately 1 ppt for the quarter. Other items to keep in mind. On the other income and expense line, we are at an expense run rate of approximately $100 million per quarter given the prevailing interest rates and debt levels. This excludes gains and losses on our equity investments, which are excluded from our non-GAAP metrics. And finally, we expect a non-GAAP tax rate of approximately 18% in Q1 and 18% to 18.5% for the year based on the current geographic mix of our business. And with that, I will turn the call back over to Warren.
Warren Kneeshaw: Thank you, Sachin. Audra, we’re now ready for the Q&A session.
Operator: Thank you. [Operator Instructions] We’ll go first to Harshita Rawat at Bernstein.
Harshita Rawat: So Mike or Sachin, I wanted to ask about Pay-by-Bank. Over the years, you’ve developed and acquired capabilities for Pay-by-Bank in different countries. You talked about this new partnership with JPMorgan. But a skeptic could also argue that Pay-by-Bank is a risk to cards longer term, and there’s some precedence in countries. So, can you talk about the push and pull for severe? And also maybe touch upon where is Pay-by-Bank being used versus cards and how’s Mastercard able to participate in those transactions? Thank you.
Michael Miebach: Right. Harshita, let me start off on that. So, the way we think about this is in the end, it is about delivering choice to consumers, choice of merchants, choice to banks, and we are therefore in all relevant ways to pay. But it’s also true that the card ecosystem over the years has driven tremendous value. So, it is a prevalent way to pay for many, many use cases. But on the side, we have alternative payment methods emerging. And we look at those as options to go after new use cases, and that’s exactly what happened here in the context of our partnership with JPMorgan. This is focused on existing ACH payments, which are not bringing the value to the biller or the consumer that they are looking for. Frankly, though, very specifically, what we’re doing here, the issue with some of these account-to-account payments is you never really know what balance is on the account. And our open banking capabilities are really providing a payment success factor here that tells the biller this is a good time to debit this particular account, so true value brought that somebody is willing to pay for, in this case, the biller/the merchant. So, a good example of where there can be value created an alternative payment tools while this doesn’t take away from the power the cards are bringing to consumers and merchants. So, we see this as coexistence. Where this is going over time, we don’t quite know, but our multi-rail strategy positions us well to play in either field.
Operator: We’ll move next to Darrin Peller at Wolfe Research.
Darrin Peller: Nice job on the quarter and the year. When we look ahead, and we’re looking at the trend you’re showing us for January, even despite easier comps on Omicron, it does look like you have pretty conservative assumptions built into the guide for the year for top line growth of low double digits. Just given the trends we’re seeing even beyond January, but ex Russia, you anniversary that after March, and the numbers go materially higher growth rates. So, can you just tell us if there’s some building blocks like around what you’re assuming on macro -- from today’s macro activity going forward and maybe rebates incentives, is that a factor here? Thanks again, guys.
Sachin Mehra: Sure, Darrin. Good morning. So, let me provide you a little bit of color here. Look, I mean, what we’ve generally assumed in our base assumptions that I mentioned when I was delivering my prepared remarks is resilient consumer spending through 2023. I mean, we see a resilient consumer today, and we’re seeing a generally resilient consumer spending pattern going forward in our base case. The other thing which we’ve contemplated, as we mentioned, from a cross-border standpoint, and particularly cross-border travel standpoint, the vast majority of the regions have now reached that state where they are kind of growing and growing at a healthy pace, but they’re not growing at an accelerating pace. So, they’ve reached that level of stability. So, let me give you a little bit of color here. You’ll remember as we are coming out of COVID, right, intra-Europe came back first cross-border standpoint. After that, we saw several inter markets come back from a cross-border standpoint, U.S., UK, Canada, Latin America, all of those. All of those are growing at a healthy pace, and we’re assuming they’ll continue to grow at a healthy pace but not at an accelerating pace. The one area where we are assuming an increase in terms of growth is around Asia Pacific. I mean, Asia Pacific has been a lagger in terms of recovery of cross-border travel. And we’re expecting that there will be -- with the borders recently opening in several markets in AP that there will be some level of recovery, which will come through there when you index back to 2019. So, that’s kind of generally been the base case we’ve kind of assumed. Look, I mean, to be perfectly honest with you, I think that the reality is we’ve got things which are helping us from a share win standpoint. We’ve got strong consumer spending, our services capabilities continuing to grow at a healthy pace, all of that is built into our guide as we go forward. Also remember that in 2022, we did have elevated levels of FX volatility which were there in the market, which actually supported the growth rate which we had in 2022. It’s hard to predict, but that looks like on a going-forward basis, we do our best assumptions on that from an FX volatility standpoint. But that’s kind of the building blocks as to how we’ve gone about building our business. The last point I’ll make is around rebates and incentives, you asked the question. As you can see, quarter-over-quarter, [ph] we talk about how we are delivering wins. We are winning with new customers. We are expanding our business with existing customers. So, we are building in assumptions from a rebates and incentive standpoint, which will be consistent with what you’re seeing in our track record from a winning standpoint as it relates to us.
Operator: We’ll go next to Lisa Ellis at SVB MoffettNathanson.
Lisa Ellis: Michael, I wanted to follow up in your prepared remarks related to new flows. You highlighted that that B2B POS payments as a notable opportunity area and highlighted a few new SMB co-brand wins there. Can you just talk a little bit more holistically about this opportunity? Remind us, a, how big it is; and then b, what’s different about it? What do you have to do differently as Mastercard to capture this opportunity relative to the consumer side? Thank you.
Michael Miebach: Right, Lisa. So, the opportunity here lies really in taking our existing set of tools, namely from the card ecosystem, very specifically the virtual card capability, which came through an acquisition many, many years ago that we’ve now built out -- ourselves into the leader here. So this existing set of tools and a huge opportunity in terms of flows to be addressed and make them more efficient, we’re looking at $14 trillion from an opportunity perspective. If you recall what we laid out across the 4 flows, new flows, this is the -- one of the large ones here that we quoted. And the way to go about this is really to say, all right, who are the different players that we already have in our ecosystem. We bring BCNs in too. There’s a lot of deals with financial institutions, but there’s also a lot of deals with partners out in the travel space, and the travel space is really the one that’s been most promising for us, and that is coming back right now. So this is a near-term opportunity. Cash and checks dominated existing tools, existing partners. This is right for us to go after it, and we’re leaning in.
Sachin Mehra: And Lisa, maybe I can just add a little bit out here, particularly as you think about the virtual card opportunity, which Mike just talked about. The differentiation, which is provided by technology which is what Michael talked about by virtue of the acquisition, which we had with our virtual card capabilities, but there’s also differentiation in terms of our approach from a go-to-market standpoint. And specifically, when you target flows from a go-to-market standpoint, you go on a vertical-by-vertical basis. So, as you know, we’ve been very successful in the travel vertical. Part of the reason we’ve been successful in the travel vertical is having a deep understanding of what it takes at the travel integrator level to be able to embed your technology there so that you are the payment choice, which people will exercise when they have to make those payments. Similarly, as we look at that opportunity going forward, there are several other verticals we’re making the similar kinds of advances in. So, that’s specific as it relates to the BCN piece. But you also asked about small business and the commercial point-of-sale opportunity, which is there. And the reality is we’ve been winning significant new deals in that small business opportunity. And we see, candidly, a very sizable market opportunity in commercial point of sale, a large part of that is still in cash and check. And the reality is, just like we did in B2M where we displace cash and check utilizing digital technologies and innovation, that’s kind of the advances we’re making also in commercial point of sale. So, that’s how we kind of see and frame the opportunity set across both of these areas.
Michael Miebach: You can hear it. It helps you have a CFO that used to be the head of our Commercial Products.
Operator: We’ll go next to Tien-Tsin Huang at JPMorgan.
Tien-Tsin Huang: I wanted to ask just big picture, if you would characterize visibility here for us on revenue versus, I guess, you can go back to pandemic or pre-pandemic. Just curious on visibility given you mentioned lots of moving pieces. And then, same thing on expenses, you said in the prepared remarks here that you’re prepared to adjust investments, if necessary. If the base case and the outlook here is to show some operating leverage, can we assume the same operating leverage if revenue weakens relative to expectations? Sorry for the long question.
Sachin Mehra: Sure, Tien-Tsin. So, on your question around revenue, it’s like I laid out, right? I mean, at the end of the day, we put our base case together. We’ve kind of laid out what our assumptions are from a base case standpoint. And at the end of the day, we don’t have the crystal ball to actually suggest that that is the way things are going to play out. But based on everything we’re seeing in the nature of current trends as well as leading indicators, particularly as it relates to the overall strength of the labor market, we feel pretty good about what we’re seeing from a base case standpoint as it relates to the outlook for revenues. As it relates to one component of revenues, which we oftentimes think about is around -- on an as-reported basis versus what it is on a currency-neutral basis, very hard to predict where foreign exchange markets go. But again, we’ve seen recent strengthening of the euro take place, and that’s what we’ve kind of shared with you in terms of our assumptions from an FX standpoint. And then, you asked about operating leverage. Look, I mean, the reality is we’ve always operated with the philosophy of delivering positive operating leverage over the long term. We look at the top line. We look at how our expense is up also against that top line. We have, in the past, demonstrated our capability to modulate our expenses to the extent we start to see adverse impacts take place on the top line and vice versa. And the reality is what we don’t want to do is impact the long-term growth potential of our business. So, we will continue to invest in our business with our eye on the long term. We will be prudent about not going into spaces from an OpEx standpoint, which are not in demand. Obviously, I’m kind of stating the obvious here. But the reality is the philosophy remains unchanged. We will look to deliver positive operating leverage as a company. And we have the tools and the ability to actually modulate expenses if top line -- if we feel like the top line growth is going to get impacted over the long term.
Operator: We’ll go next to Sanjay Sakhrani at KBW.
Sanjay Sakhrani: First off, I’m glad we’re getting rid of the relative to 2019 metric, for good reason. Just a question on cross-border and sort of the operating assumption this year. I know there’s a number of different trends that you guys talked about. But there’s still a decent amount of pent-up demand. I guess, how do you think cross-border travel behaves in a backdrop where macro might get worse from here? Maybe you could use some historical precedent here. Maybe just give us sort of how you’re thinking about it. Thanks.
Sachin Mehra: Sure. So Sanjay, let me share a few thoughts on how we think about cross-border, right? So at the end of the day, there are numerous things which impact how people travel and spend in the cross-border environment. But at the outset, what I want to say is that the fundamentals around the cross-border proposition as delivered by Mastercard actually stand to be very sound just like they were in the pre-pandemic days. We said this through the pandemic, and it’s played out in that manner. Now, let me get a little bit more specific as it relates to pent-up demand -- your question around pent-up demand. The reality is we all know from what we hear on the earnings calls of airlines that capacity is constrained from an airline standpoint. And with that constrained capacity and elevated prices, you’re seeing that impact come through when you do P times Q, which is price multiplied by quantity, you get kind of what the resultant impact from a spend standpoint is. Fast forward, as capacity comes back online, one would expect that people will -- there will be some level of adjustment in prices because the demand-supply equation gets a little bit more in equilibrium. And so overall, we’re not assuming that that necessarily results in a tailwind because capacity comes back online, right, because there’s going to be an adjustment which takes place from a price standpoint. Our view -- again, we hope we’re wrong, and we hope cross-border spending kind of goes with more capacity, prices remain elevated and people continue to spend, but we’ve got to take a point of view on that, and that’s what we’re taking. The other point I’ll make is, as it relates to what the impact of FX rates is on cross-border and cross-border travel. The reality is what we’ve seen historically is that when exchange rates move, for example, with the dollar strengthening, with the lag effect, you would tend to see inbound into the U.S. get impacted. That’s only natural. It gets more expensive for people coming from different parts of the globe to come into the U.S. But what we’ve also seen is individual extend to then redirect that cross-border spend to other parts of the globe where they don’t feel the impact of that come through. So, movements in foreign exchange rates, does have an impact on how we think about cross-border going forward.
Michael Miebach: And just to add one point here, Sanjay, that is over the last two years, we’ve been winning portfolios in the space. We’ve really focused on the space, expecting to come back. If you recall, let me just remind everybody here, across airlines, across travel, our online travel agencies, across lodging, across other forms of transports like trains, Myriad, Virgin Atlantic, Amtrak, JetBlue, Cathay Pacific, British Airways and so forth, we have won portfolios. And we’ve bolstered that in terms of market access through these partners with additional products. So there’s Mastercard Travel Rewards out there, which is now in 80 countries. So, we believe into the macroeconomic environment that Sachin just laid out, we have the better proposition. So, it remains an exciting space. The pace in which we’ll grow, we’ll have to see that is characterized by what Sachin just said, but we certainly have a differentiated proposition in that. And one last comment I want to make, Sanjay, I’m happy you’re excited about metrics and how we’re changing the metrics. From a metrics perspective, I want to complete -- back to Lisa’s question earlier. I mentioned the $14 trillion on commercial POS, but there’s also $24 trillion on accounts payable, which makes the total opportunity in this combined space, $38 trillion. So, that conversation earlier was an important one on a very big part of our priorities.
Operator: We’ll go next to Jason Kupferberg at Bank of America.
Jason Kupferberg: I really appreciate the China cross-border data you gave there for both inbound and outbound. I think you said that inbound is running at about 20% of 2019 levels in the fourth quarter and outbound at about 50% of 2019 levels in the fourth quarter. Can you give us a sense of how much improvement you’re expecting in those metrics in 2023 as the reopening progresses? And then separately, can you just make any high-level comments on growth for each of your three strategic pillars in ‘23? Thank you.
Sachin Mehra: Sure. So first, Jason, I’m not going to share specifics as it relates to how we built our model up for the full year. What I will share with you is as it relates to the recovery of both inbound and outbound for China, we have built in some level of recovery as the year progresses. It’s our best estimate as to what we expect to happen by virtue of the borders opening and the quantity and requirements being lifted. But suffice it to say that the opportunity is pretty sizable. The fact that we were in Q4 at 20% of 2019 levels from an inbound travel standpoint, cross-border travel standpoint is just suggestive of the fact that if you just think about what’s gone on around the regions and how they’ve recovered and bounced right back and gone well above 2019 levels, there’s a significant opportunity both on inbound and outbound as it relates to China. And sorry, the second part of your question, Jason?
Jason Kupferberg: Just the three strategic pillars, what you’re modeling for revenue growth on those in ‘23?
Sachin Mehra: Again, I mean, when you -- the strategic priorities, we’ve got payment services in new networks, as Michael has talked about. Look, I mean, I’ll give you a general sense. I mean, you know about -- from a payment standpoint, we’ve been doing this, and we’ve been doing this for many decades, and that is the substantive part of how we deliver our revenue growth. Over the last decade, we’ve shown you how services have grown and still growing at a healthy pace. In my view, the demand for our services capability still remains very strong. You’ve seen that we’ve been growing at a faster pace in services relative to the overall growth of our business. And I don’t think we should assume anything different on a going-forward basis. And new networks is relatively nascent really. So again, I would put that into the space of it’s growing. It’s growing off a small base at a very healthy clip. But the reality is on the overall Mastercard, it’s still to have a meaningful impact. So, that’s kind of the best I can share with you on that.
Michael Miebach: Jason, I’d say the model really is one not of separate pillars. This is an integrated business proposition where services differentiates payments. And payments is oftentimes a way to build out a further -- a broader set of services and so forth. So, it kind of goes in the circle -- a virtuous circle, I have to say. When you look at it, the -- historically, we gave you a number a couple of years ago that service is a third of our quarter. It has been growing faster. I gave you an example earlier in my prepared remarks on Consumer Clarity, which is something that is transaction-related, and it’s growing faster with 50 new issuers. So, there’s just a lot of momentum in there. But, there is also the kind of services that are not related to the underlying payments business. For example, what the example I gave you on Test & Learn, where we’re working with a set of customers to work on their base core business as in Lowe’s, the example that I gave you. So, different sets of dynamics, but they go hand in hand, and that is the power of the differentiated and diversified business model that we have.
Operator: We’ll move next to Rayna Kumar at UBS.
Warren Kneeshaw: Rayna, are you on mute? Operator, let’s go to the next, and try to get Rayna back on line.
Operator: We’ll go next to Will Nance at Goldman Sachs.
Will Nance: Maybe I’ll squeeze one last 2019 -- versus 2019 question before the metrics go away. When we -- some of the kind of moving pieces in December, it seems like across some of the metrics, things seem to take a little bit of a step down on the 2019 stack. So, just any color on what you’re seeing on a regional basis between kind of e-commerce and travel and how those trends have kind of continued into January, maybe excluding some of the impacts of China that you’re seeing? And then just a more numerical piece of that question as I -- appreciate the color you gave on the China metrics on inbound and outbound travel. Just wondering if you have any color on just the overall contribution of China to cross-border volumes?
Sachin Mehra: All right, Will. So, I’ll take your questions in order out here. You talked about some color around how we’re seeing things shape up in Q4 relative to 2019 levels. We’re seeing pretty stable levels as it relates to switched volumes, switched transactions in cross-border, in fact, marginally up on each one of them quarter-over-quarter. So for example, in switched volumes in Q3 as a percentage of 2019, we were running at 154%; in Q4, we were running at 156%. And you can see this in the slide deck, which we shared with you. The one thing to just keep in mind is in the U.S. in Q4, we have seen a little bit of an impact come through from lower gas prices, and that’s kind of being reflected in the numbers you see right here. You asked a question from a regional color standpoint. I’d say there’s remarkably consistent growth that we’re seeing in most regions. For example, in Europe, Europe continues hold up pretty well. Latin America and EMEA are also actually holding up pretty well from a growth standpoint. In Q4, China was in the negative, particularly in its domestic volumes. And again, remember, our -- we don’t generate a lot of revenue from the domestic side. But, it was impacted negatively because of the flareup in the COVID situation, which took place there. So that’s one piece to keep in mind. Another piece to keep in mind is that from an India standpoint, we are -- now that we’re out of the embargo and we’ve started new issuance, you still have the tail effect of the embargo coming through. So said differently, the fact that you actually for a year were not issuing new cards in India has a resultant impact of attrition of old cards which are taking place, which need to be more than compensated for by issuance of new cards. And that takes time as issuers get ramped up and ready to go. So, you’ve seen that come through in Q4 as well. But beyond that, I would say that we continue to see pretty good and consistent growth relative to 2019 levels across all our metrics here.
Michael Miebach: And a step down compared to last year and the year before is, of course, there because you get the mathematics and the lapping effects and so forth. But to 2019, I think that’s an instructive view here. And it tells us that, yes, we’re expecting a resilient consumer will continue to spend.
Sachin Mehra: And, Will, you had asked the question about China. In my prepared remarks, I shared with you that China inbound cross-border travel pre-pandemic was roughly 1% of our total corresponding volumes, and our outbound -- the similar metric from an outbound standpoint was about 2%. So, I know that was the second part of your question.
Operator: We’ll go next to David Togut at Evercore ISI.
David Togut: Europe continues to be a driver of differentiated growth for Mastercard. For the year ahead, could you talk through some of your assumptions on the biggest opportunities in Europe, Germany, Poland, Italy, when you think about both economic outlook and cash digitization? We’ve seen mixed reports 6, 9 months ago, more concerned about Europe given high gas prices. Now, it seems like the outlook has been a little better with lower gas prices and a more mild winter. But, any insights would be greatly appreciated.
Michael Miebach: David, let me start off on that. So, looking at Europe really in three categories, there’s the UK on one hand and there’s emerging Europe and then there is Continental Central Europe, and slightly different picture on all of them. First of all, starting off with the continent. Here, the concern has been around for a while on rising gas prices and energy prices and the impact on the consumers’ ability to spend. A combination of fiscal measures to provide cushions to consumers, along with energy-saving measures, along with the gas storage now reaching full capacity has really alleviated some of these concerns. So, we continue to see a fairly resilient European consumer. That’s our base assumption as we look forward. UK, somewhat different economic outlook, and that might be a little more shaky there. But fundamentally, in this market, we are seeing a lot of tailwind for us from share gains over the last couple of years. So that works well for us. And emerging Europe continues to be a dramatic digitization opportunity as we’ve seen in markets like Russia, which unfortunately is not in our P&L any longer. But we have seen very high digitization rates, and we’re pushing that in these more emerging markets. Somewhere between, there’s peculiarities like Germany, where there was a significant digitization opportunity, and there still remains. But we caught up a lot in Germany over the last two years, particularly on the contactless side, which is now reaching half of the transactions there. So, healthy mix in Europe and very strong share position with opportunities to come through from portfolio wins that we have shared with you over the last couple of years as they go into effect.
Sachin Mehra: And I’ll just add, David, to Michael’s point around the deals which we’ve recently won and announced. Just to give you a little bit of perspective, we had talked about Santander historically. That migration is in progress. And we’re through the bulk of a 9 million card migration there. We expect to be complete by early 2023 on that one. NatWest commenced the issuance of Mastercard debit cards in December of 2021. That’s well underway, and we would expect some of that to continue to happen in 2023. And then, the other one we had spoken about historically was Deutsche Bank, and we expect that the migration of one will commence somewhere in the middle of 2023. So, just to give you a little bit of sense as to how we’re kind of thinking about things.
Operator: We’ll move next to Ashwin Shirvaikar at Citi.
Ashwin Shirvaikar: I just wanted to drill into a couple of things, now that we’re getting rid of 2019 over the past few years. And looking forward, what has changed in terms of the growth algo? How should we think of that as we think of normalized growth visibility? And then, there’s a smaller question with regards to - specifically for ‘23, the spread between [indiscernible] how should one think of that?
Sachin Mehra: I’m going to need a little bit more clarity on the second part of your question, but we’ll get to that. Let me take the first question first, which is as it relates to the growth algorithm. Just suffice it to say that the fundamentals of our business actually are very, very sound. The growth algorithm, which has actually enabled the strong growth we have delivered pre-pandemic, very much stands sound even today. So, the reality is, if you think about PCE growth, you think about the opportunity for the secular shift to electronic forms of payment, you think about the fact that we’re growing market share, you think about how we’re delivering on our services capabilities and driving growth from that, and now as we’re doing new and different things around new payment flows as well as new networks, that growth algorithm actually is very sound, very stable, very consistent with what we’ve historically had. And that’s the way we think about the business for, call it, not only the near term but near medium to long term for Mastercard. Now, Ashwin, I’m not sure I got the second part of your question. Could you repeat that, please?
Ashwin Shirvaikar: Yes. I was asking about the cross-border volume spread. How should one think of that as we think of this year?
Sachin Mehra: Yes. Look, I mean, our cross-border proposition sound -- is very sound and stable. And I think at the end of the day, like I said, most of the regions are now back to what I would call, the stable growth rates that we would normally have seen in the pre-pandemic phase. The one exception is Asia, and there’s a little bit of opportunity which we have in Asia, which we’ve contemplated in our thoughts for 2023.
Operator: We’ll move next to Ken Suchoski at Autonomous Research.
Ken Suchoski: Hi. Good morning, Michael and Sachin. Thanks for taking the question. I wanted to ask about the cross-border recovery. We see the volumes for cross-border travel are well above 2019 levels. Where are you seeing the transactions versus 2019 levels on that same metric? Sachin, you made some interesting comments on price versus units. And I’m just trying to get a sense for how much the cross-border travel volumes are benefiting from inflation and spend per transaction, and how much recovery is still left from a number of transaction standpoint. Thank you.
Sachin Mehra: Sure, Ken. So my comment is actually going to hold true for not only cross-border for -- largely for the business, if you think about it, right? You know our transactions or the growth in our transactions is impacted by our average ticket size. There are puts and takes on the average ticket size, not only in cross-border but even on domestic, which are influenced by numerous factors, one of which is inflation. The others are the mix between card-present and card-not-present. Because what happens is, typically, with more card-not-present, you tend to see a higher average ticket size, which results in lower transaction growth rate. Now, that being said, also when you do more card-not-present, you have the opportunity to deliver more services. When you deliver more services, it allows you to actually have a compensating effect from a revenue standpoint. So, I think those are two important things to keep in mind. The third, I would say, from an average ticket size standpoint, which impacts both cross-border and domestic, is what is the regional mix? Because different countries have different average ticket sizes, which influences what the growth rates are. Specifically on cross-border average ticket, it has been pretty stable year-over-year. And our assumption, as we kind of think about this is, not knowing perfectly well where inflation is going to go and the variables I kind of talked about, those are those things we factor into our assumptions as it relates to transaction growth on a going-forward basis.
Operator: We’ll take that question from Dave Koning at Baird.
Dave Koning: Maybe just to go back a little bit to Q1 guidance. You talked a little bit about this, but I know revenue you’ve got on a non-GAAP basis decelerating something like 5% or so. But every metric -- every core metric in January accelerated by kind of 4% to 11%. Is there just tougher comps coming on some of those key metrics, or is it rebates? Or maybe talk through a little bit about the gap and kind of what’s going to happen in the rest of the quarter.
Sachin Mehra: Sure, Dave. A couple of thoughts. One, in Q1, acquisitions contribute less to our Q1 growth than they did to our Q4 growth because you’re doing a sequential comparison between Q4 and Q1 in your question there. Number two, the suspension of operations in Russia has a greater impact in Q1 than it does in Q4. It’s just the way the cadence of the revenues are. And then, two other points I’d point out is Michael talked about the several wins we’ve got -- active deal activity, which has been in play. We’ve got to contemplate all of that in our Q1 kind of thoughts. And then, the last piece I’d mention is we did have elevated levels of FX volatility in Q4. I don’t know where FX volatility is going to play out. We’ve done our best assumptions around that, but those would be the contributing factors.
Warren Kneeshaw: Michael, any final comments?
Michael Miebach: Yes. So, thanks for your questions. Thanks for your trust. Rayna, we will figure out your questions offline. We couldn’t get to those, unfortunately. The day will come when there’s a call where there’s more questions for me than for Sachin. I’m still hopeful. We will get there at some point. But the story has been resilient consumer, and we still see some opportunity in cross-border for Asia. That’s the base. We’re winning. That feels good as we look ahead into 2023. And we have 28,000 excited people at Mastercard that are going to deliver on that opportunity. With that, thank you very much and speak to you next quarter.
Sachin Mehra: Thank you.
Operator: And this concludes today’s conference call. You may now disconnect.